Kenny Green: Ladies and gentlemen, thank you for standing by. My name is Kenny Green. I'm part of the Investor Relations team at Ituran. I would like to welcome all of you to Ituran's results zoom webinar, and I would like to thank Ituran's management for hosting this call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded, and the recording will be available from the link in the earnings press release and on Ituran's website from tomorrow. With me today on the call are Mr. Eyal Sheratzky, CEO; Mr. Udi Mizrahi, Deputy CEO and VP Finance; and Mr. Eli Kamer, CFO of Ituran. Eyal will begin with a summary of the quarter's results followed by Eli with a summary of our financials. We will then open the call for the question-and-answer session. You should have all by now received the company's press release, if not, please view it on the company's website. I'd like to remind everyone that the safe harbor statement in today's press release also covers the contents of this conference call and the associated presentation. And now, Eyal, would you like to begin, please?
Eyal Sheratzky: Thank you, Kenny. I'd like to welcome all of you to our second quarter 2025 results call, and thank you for joining us today. I'm pleased to report another solid quarter for Ituran. We've continued to execute on our strategic objectives delivering steady growth. This was achieved despite a war between Israel and Iran during the quarter, which led to an approximate 2-week suspension of economic activities in Israel. On the positive side, during the quarter, Ituran celebrated its 30th birthday, of which 20 of those has been as a public company, and we hosted a company even for employees, management and partners. This is a significant milestone, and I'm proud in what we have been able to accomplish over the years, thanks to our dedicated employees and management. We aim to continue our path of growth and profitability for the decade ahead. Our results show an ongoing expansion across our target geographies in our large subscriber base of over 2.5 million subscribers. In the second quarter, we added 40,000 net subscribers, and we remain on track for 2025 subscriber growth to reach between 220,000 and 240,000 net subscribers. In all our geographies, we continue to launch attractive new and advanced telematics products and services adding value to our customer base, including a new product targeted to motorcycles owners, which is seeing solid traction. The strengthening of the dollar versus many of the local currencies in which we operate compared with the second quarter of last year had a slight deflating impact on our financial results when denominated in U.S. dollars. In local currencies, in each of our regions, I note that we grow slightly ahead of what our U.S. dollar-denominated results suggest. We had a good second quarter, and I want to summarize some of our activities which will continue to contribute to our growth and success. We continue to see solid demand for our location-based product and telematics services in all our regions as well as traction from our new initiative and services. As I mentioned earlier, the war with Iran in second quarter had a short but intensive economic impact in the country as the country came to economic standstill for about 2 weeks. This impacted new car sales, which led to a slight delay in product sales. High car theft rate in Israel continued to provide strong demand for our services in the country, and we are reaching additional new subscribers from part of the market that were previously untapped by us such as lower-priced new vehicles or the second-hand car market. Finally, our usage-based insurance business in Israel is seeing good traction and bringing continued strong subscriber growth in Israel. In Latin America, we continue to expand our reach in the motorcycle market, and we announced a new partnership with BMW Motorrad in Brazil. Motorcycle represent a significant market opportunity being the top mode of transportation in many parts of the world. It significantly increased our total addressable market. Our new product targeting motorcycle continues to gain traction across all our geographies in South America. With Brazil as our starting point, we plan to scale into other high-growth motorcycle markets through partnerships with local OEMs as well as sales to the aftermarket. Ituran generated a high level of cash in the quarter, amounting to $22.4 million in operating cash flow during the quarter. Ituran is focused on shareholder value creation. And as such, the Board of Directors decided to issue a dividend of $10 million to shareholders. I remind you that at the end of last year, we increased our dividend policy by 25% from issuing $8 million quarter to $10 million. This represents $0.50 per share. Our dividend yield on an annualized basis represents a return of around 5%, which is a very solid return from a strong and stable company. We see our ongoing dividend as a reward to our shareholders for their loyalty and long-term support of our company. At the same time, as of the end of the quarter, we had around $6 million still available under our buyback program, which we intend to deploy over the coming quarters. In summary, we remain pleased with Ituran's ongoing performance. We believe we will continue to see growth throughout 2025, adding between 220,000 and 240,000 new subscribers in 2025. At the same time, we look for more avenues for accelerating our business even further across all our regions. And with that, I hand over to Eli. Eli, please go ahead.
Eli Kamer: Thanks, Eyal. I will provide a short summary of the financial results. You can find the more detailed results that we issued in the press release earlier today. Second quarter revenues were a record $86.8 million, a 2% increase compared with revenues of $84.9 million in the second quarter of last year. The overall strengthening of the U.S. dollar in the second quarter versus some of the various local currencies in which Ituran operates in impacted the revenues when translated into U.S. dollars. In local currencies, revenues grew by 4% year-over-year. Revenues from subscription fees in the quarter were $63.8 million, an increase of 6% year-over-year, and in local currencies, an increase of 7%. Product revenues in the quarter were $23 million, a decrease of 6% year-over-year. Product sales were impacted due to a cessation of new sales during the 12-day war between Israel and Iran during the quarter. The subscriber base expanded to 2,548,000 by the end of the second quarter, an increase of 40,000 from the end of the previous quarter. The geographic breakdown of revenues in the second quarter was as follow: Israel, 54%; Brazil, 23%; Rest of World, 23%. EBITDA for the quarter was $22.9 million or 26.4% of revenues, a decrease of 1% compared with EBITDA of $23.1 million or 27.2% of revenues in the second quarter of last year. In local currencies, EBITDA grew 2% year-over-year. Operating expenses in the quarter were slightly higher due to a onetime operating expense in the second quarter related to the company-wide celebration of our 30 years milestone. In the second quarter, finance expenses were $1.3 million compared with finance income of $0.1 million in the second quarter of last year. The expenses this quarter was due to the strongly increased level of the Israeli shekel compared to the U.S. dollar at the end of the quarter which led to a lowering in value of U.S. dollar-linked deposits in Israel, which caused a noncash finance expenses on those deposits. Net income for the second quarter was $13.5 million or diluted earnings per share of $0.68, an increase of 2% compared to $13.1 million or diluted earnings per share of $0.66 in the second quarter of last year. In local currencies, net income grew 6% year-over- year. Cash flow from operations for the second quarter of 2025 was $22.4 million. As of June 30, 2025, the company had net cash, including marketable securities of $88.7 million. This is compared with net cash, including marketable securities of $77.3 million as of year-end 2024. The Board of Directors declared a dividend of $10 million for the quarter. The current dividend takes into account the company's continuing strong profitability, ongoing positive cash flow, and strong balance sheet. And with that, I'd like to open the call for the question-and-answer session.
Kenny Green: [Operator Instructions] Our first question will be from Chris Reimer of Barclays.
Chris Reimer: You can hear me okay?
Eyal Sheratzky: Yes.
Chris Reimer: First off, I'd like to ask how should we be...
Kenny Green: Chris, we lost you for a second. Please repeat your question.
Chris Reimer: Sorry. How should we be looking at growth into the second half? And would you say you've seen a bounce back in Israel?
Eyal Sheratzky: Actually, we're still on track with our forecast of 220,000 to 240,000 subscribers. So I believe that this will be the growth in subscribers in the second -- according to this, we will have the growth in the second half of the year.
Chris Reimer: Right. Okay. And can you provide any more color on the BMW deal? What's the potential scope of customers? And when might we see impact?
Eyal Sheratzky: Actually, BMW motorcycles in Brazil are signed with us the kind of a partnership agreement, and they're going to install our motorcycle solution with their motorcycle, with the BMW motorcycle. It's a very strong brand in Brazil. In terms of numbers, usually, when we sign OEM contracts, we get kind of roughly projections for numbers, but they never commit. But based on the relationship, the negotiation and the discussions, we are quiet confidence that we are talking about tens of thousands of new subscribers every year in the coming years.
Chris Reimer: Got it. That's helpful. And maybe for Eli, how should we be looking at the financial expenses going forward?
Eli Kamer: Chris, financial expenses, usually, if you look at the past, our average is around breakeven or a little bit positive, like up until $0.5 million, but the financial expenses/income is really linked to the FX and our deposits of cash that we have. This quarter, specifically, we had deposits linked to the U.S. dollars here in Ituran Israel, which were attributed to the dividend that we are going to pay. And due to the fact that in the end of June, the shekel got stronger significantly that affected our financial expenses. So basically, it's not in cash flow, but this is. So going forward, it's hard to say.
Kenny Green: That looks like that's all the questions we have in the queue. So I'll hand it back to Eyal for the closing statement. Eyal, please go ahead.
Eyal Sheratzky: Thank you, Kenny. On behalf of the management of Ituran, I would like to thank you, our shareholders, for your continued interest and long-term support of our business. We look forward to continuing our accomplishments over the next decade. If you are interested in meeting or speaking with us, feel free to reach out to our Investor Relations team. And with that, we end our call. Thank you, and have a good day.